Operator: Good day ladies and gentlemen. Welcome to the TELUS 2015 Q2 Earnings Conference Call. I would like to introduce your speaker, Mr. Paul Carpino. Please go ahead.
Paul Carpino: Good morning everyone and thank you for joining us today. The Q2 news release and detailed supplemental investor information are posted on our website telus.com/investors. On the call today will be Executive Chair, Darren Entwistle, who will provide some opening comments; followed by a review of operational highlights by Joe Natale, President and Chief Executive Officer. John Gossling, our CFO, will then provide a review of our financial results for the second quarter. After our prepared remarks, we will conclude with a question-and-answer. Let me direct your attention to slide 2. This presentation, answers to questions, and statements about future events such as 2015 annual targets, intentions for dividend growth and future share purchases, are subject to risks and uncertainties and assumptions. Accordingly, actual performance could differ materially from statements made today, so do not place undue reliance on them. We also disclaim any obligation to update forward-looking statements except as required by law. I ask that you read our legal disclaimers and refer you to the risks and assumptions outlined in our public disclosures and securities filings with Canadian and the U.S. regulatory. Let me now turn the call over to Darren, starting on Slide 3.
Darren Entwistle: Thanks Paul. I am very pleased to report that TELUS once again delivered another quarter of strong financial results and industry leading operating performance. As our track has demonstrated for more than 15 years, our teams focused execution of our winning long-term strategy continues to drive consistent and superior financial and operating performance, deliver on our number one priority of putting our customers first each and every day, foster global leading employee engagement, and equally important create value through the relentless returning of significant capital to our shareholders. In this regard we once again built upon on our multiyear leadership within the following areas this past quarter achieving leading total market share gain amongst our Canadian peers and combined new wireless post paid, high speed internet, and TV customers. There has been exceptional customer loyalty where TELUS is the only carrier amongst our North American peers to deliver churn rate below 1% for eight consecutive quarters. Driving top line and profit growth in both our wireless and wireline businesses and earning the distinction of being one of the few wireline companies anywhere in the world to show growth in subscribers, growth in revenue, and growth in EBITDA. Joe and John will take you through our strong quarterly performance in more detail but impressively the long-term consistency of our quarterly performances has been built by executing successfully on a winning strategy with deep longevity. At the heart of this strategy is our disciplined and consistent approach to investing in our core wireless and wireline businesses to grow shareholder value. A clear example of this in the second quarter was our purchase of 40 megahertz of valuable 2.5 gig spectrum nationally in industry Canada's auction in April. Given our industry leading lifetime revenue per customers, increasing customer base, growing ARPU, strong client loyalty, and the significant appetite of customers for more data and faster speeds, it is indeed clear how this core investment is essential to support our customers first focus and drive future growth for investors. Additionally this wireless investment was complimented by meaningful investments in our wireline assets as well. During the second quarter we announced our single largest fiber optic investment in the history of our company with a major gigabit enabled network in Edmonton. When completed, the network will deliver initial speeds of 150 megabits per second right to the door of more than 300,000 homes and businesses as well as medical, educational, and community facilities. These wireline and wireless investments will dramatically improve the way our customers live, work, and socialize in a digital world. Moreover the investments epitomize the essential long-term investments that drive our shareholder friendly and ongoing multiyear dividend growth model and share repurchase programs. Indeed our disciplined approach to investing in core businesses has allowed TELUS to establish one of the most robust and transparent dividend growth models of any public company anywhere. In 2011, against the backdrop of economic uncertainty and nascent income growth opportunities for investors, TELUS stepped forward and announced a one of a kind three year, double-digit dividend growth program that is now running through to 2016. Certainly the unique growth window we are able to provide shareholders has been facilitated through the consistent execution of our long-term strategy that has been embraced and executed by the people of TELUS. Through this prolonged investment in terms of an environment of low interest rates and economic uncertainty, our dividend growth model has indeed been transient and delivered significant income growth for investors along with major capital appreciation. Impressively since first establishing our dividend growth model, TELUS has consistently delivered against the expectations we set with nine semi-annual dividend increases realizing annual growth rates of 10% or better. Beyond the strong income growth, our performance has been further enhanced over this period with exceptional capital appreciation including 79% share price appreciation and $11 billion increase in market capitalization and a total shareholder return of 111%. In the first seven months alone of 2015, TELUS has returned $1.1 billion to investors building upon the $3.4 billion return to investors over the past two years and $11.5 billion or more than $19 per share over the past decade. Importantly and key to our strategy, this initiative has been implemented synergistically with our annual $500 million stock repurchase program in each of those years. Cumulatively our share buybacks have eliminated $125 million in future dividend outflows. The dollars returned to shareholders through these and other shareholder friendly programs over the years have become a hallmark of TELUS‘s share ownership. I am very proud of our teams unrelenting execution of our long standing strategy which firmly underpins our customers first priority and remain steadfastly focused on the multi decade nature of our business. Let me now turn over the call to Joe and John for some additional highlights on the quarter.
Joseph M. Natale: Thanks Darren and good morning. The TELUS team continues to drive strong results in the second quarter. Starting with wireless on slide 5, TELUS reported postpaid wireless net additions of 76,000 representing 47% of net loading by the major and national carriers. Our unmatched focus and momentum on customer loyalty has allowed us to lead the industry in wireless postpaid market share gains for the last six consecutive quarters. Turning to slide 6, our customer loyalty results are among the best we have seen since becoming a national carrier over a decade and a half ago. Through years of companywide team emphasis on earning customer loyalty, we have continued to gain our customers trust. There is no better illustration of this dedication then our leading monthly postpaid churn rate of 0.86%. This represents another 4 basis points of year-over-year improvement, a tremendous achievement for our team. Particularly as we work through the heightened market activity in the double cohort period. Our postpaid churn rate has been below 1% every quarter for at least two years and today our wireless customer loyalty is the best in North America. In addition we delivered churn improvement while maintaining retention investments at 12% of network revenue. We started our customers first journey in 2009, I can’t emphasize enough how proud I am of the deeply customer focus culture our team has created. Our work in this area represents a key differentiator for TELUS and it positions us well going into the second half of the year where we expect acceleration in retention volumes associated with the double cohort, combined with the usual seasonality around the back to school period and anticipated iPhone launch, Black Friday, and the holiday season. Moving to slide 7, we reported our 19th consecutive quarter of year-over-year blended ARPU growth up 3% to industry average leading $63.48. This continues to be driven by our consistent strategy of focusing on high quality subscriber loading, robust data growth and customer adoption of the latest Smartphones, increasing penetration of your choice rate plans, and our best in class wireless network. Turning to slide 8, our leading lifetime revenue per subscriber increased once again this quarter up 20% to over $5400 and up to 39% better than our peers. Turning to wireline on slide 9, TELUS continues to be one of the only major telecommunications company’s globally to report ongoing growth in wireline customer connections as well as wireline revenue and EBITDA. This growth is underpinned by the significant investments we are making in our broadband network to enhance speeds and to bring fiber directly to homes and businesses. TELUS reported second quarter TV net additions of 17,000 with our customer base expanding 10% year-over-year. The consumer demand for our premium optic TV service remains healthy and we continue to expand our market share and drive great pull through growth in high speed internet. High speed internet additions net additions were 22,000 were up close to 50% over last year bringing our base to more than 1.5 million customers. Residential access line losses again remain relatively stable at 20,000. Combined TV and high speed internet net additions of 39,000 exceeded residential line losses for the 20th consecutive quarter for five years in a row by a factor of 2:1. While our consumer business remain strong we continued to see a technological shift by business customers associated with the conversion of voice lines to IP services which is not typically accompanied by a parallel revenue decline. The 9,000 business line losses in the quarter reflected this. In addition increased competition in the small and medium business market and economic impacts associated with both regional and national economies. In closing I’d like to thank our team for their tireless focus on putting customers first. I am very proud of how our team consistently proves that expecting more from ourselves translates into strong results for our customers and our shareholders. And with that let me turn the call over to John.
John R. Gossling: Thank you Joe, good morning everyone I am on slide 12. Second quarter wireless results continue to reflect our strong operational execution. Network revenue growth of 6.1% was driven by strong data revenue growth of 18% reflecting subscriber growth, increased adoption of higher rate two year plans, higher daily usage from the continued growth in Smartphone’s and other data centric devices, increased data roaming, and the expansion of our 4G LTE network. Reported EBITDA increased by 1.5% and network revenue growth was offset by a significant restructuring and other like cost which is higher year-over-year by $33 million due primarily to the planned closure of all blacks photography retail stores. Excluding restructuring other wide cost from both periods EBITDA was higher by 6.3% reflecting a stable margin of 43.5% of total revenue. The strong growth in network revenues per share offset by a 13% increase in retention volume resulting in higher retention cost and higher customer service and distribution channel expenses during a period of heightened competitive intensity. As Joe referenced earlier, we expect retention volumes to remain elevated as we head into the seasonally important third and fourth quarters. Capital expenditures were unchanged year-over-year as we continued to make investments in wireless broadband infrastructure to enhance our network coverage speed and capacity including the ongoing deployment of 700 MHz spectrum. Moving to slide 13, revenue in our wireline business increased by 2.4% due to data revenue growth of 7.8% reflecting high speed internet subscriber growth and higher revenue per customer and as well growth in business process outsourcing services, our higher TELUS TV subscriber base, and increased TELUS Health revenues. Reported wireline EBITDA decreased by 0.9% due to a $15 million increase in restructuring underlying cost. Excluding those cost in both periods wireline EBITDA increased by 2.9% with the margin of 27.0% and that’s up 20 basis points year-over-year. This EBITDA growth reflected improving margins from internet, TELUS Health and business process outsourcing services as well as ongoing operational efficiency initiatives. Capital expenditures increased over the same period last year due to continued investments in broadband network infrastructure including connecting more homes and businesses directly to our fiber optic broadband network. Extend the reach and functionality of our healthcare solutions, investments and system resiliency, and reliability, and to support business service growth. As noted on slide 14, consolidated revenue and EBITDA excluding restructuring underlying cost both showed strong growth of 5.1%. Basic earnings per share of $0.56 decreased by 9.7% as underlying EBITDA growth and lower shares outstanding from our ongoing share purchase program was offset by significant restructuring underlying cost as previously discussed, unfavorable income tax rate adjustments resulting from higher enacted corporate income tax rate in Alberta offset by a favorable adjustment from the reassessment of prior year income tax issues and an asset retirement charge for the planned closure of Blacks Photography retail stores. Excluding these items EPS was higher by 4.8% to $0.66. EPS drivers are available in the appendix. Free cash flow of $300 million increased by $90 million or 43% as higher EBITDA and lower income tax payments offset higher capital expenditures due to our ongoing strategic investments in wireless and wireline broadband to support TELUS‘s long-term growth. Before passing the call back to Paul, I want to highlight four notable changes to our 2015 consolidated guidance and assumptions. First, we are increasing our consolidated capital expenditure guidance for 2015 to approximately $2.5 billion. The increase reflects continued investments in broadband infrastructure to support the increasing demand for data services and higher network speeds. Second, we are increasing our restructuring underlying cost assumption by $50 million to approximately $125 million to support ongoing operational efficiency initiatives. Third, 2015 EPS will be negatively impacted by net unfavorable income tax rate adjustment including the revaluation of deferred income tax liabilities from the recent increase in corporate income tax rate in Alberta. As well as a $50 million increase to our original restructuring underlying cost assumption. However, excluding these items TELUS still expects full year EPS to be within our original range of $2.40 to $2.60. Finally, our cash income tax payment assumption was rise down to a range of $200 million to $260 million from the original assumption of $280 million to $340 million. The change reflects the deferral of the 2015 installments to 2016 and higher refunds from the settlement of prior years income tax related matters. At this point let me turn the call back to Paul.
Paul Carpino: Thanks John, Peter can you please proceed with questions from the queue for Darren, Joe, and John.
Operator: Okay, thank you very much. [Operator Instructions]. Our first question comes from Drew McReynolds. Please go ahead.
Drew McReynolds: Thanks very much. Just a couple from me, first just on the wireline side, noticed a sequential acceleration in wireline data growth just versus the past three quarters up about 50 basis points. John, just wondering if there is kind of anything special in there that you can flag?
John R. Gossling: Well Drew, I think there is several things happening within the data line. So, definitely have increases in the subscriber bases in TV and in high speed internet and as well some nice traction on our ARPU, particularly on high speed internet with more and more usage. I think that is the biggest driver and as well we do have some other smaller pieces that are moving as well. Some of our business process outsourcing activities in that line and that has also been growing quite nicely. And as well the health business as we mentioned, either I think it was two calls ago, the health business is growing in the low double-digit as well. So that also is helping.
Drew McReynolds: Okay, that's great. Little bit of housekeeping item, just in terms of I guess the taxation dynamic, can you just quantify how much the installment deferral is and as we look kind of longer term, obviously we are seeing you invest more CAPEX into the business, just wondering what impact that ultimately could have on kind of cash taxes looking out beyond the shift?
John R. Gossling: So, the decline in the range for 2015 is really split partly from 2015 ongoing effect, so that is mostly the installment impact. And the other half is really from the settlement of the prior year issues and there was cash associated with that, that will come back into the system. So, that is 2015. I think it is a very good point on going forward because we are in a situation right now where 2015 is, I shouldn’t say artificially low but 2015 has benefited from really a bit of an echo effect from the use of the public mobile tax losses. So we saw that benefit in 2014 on a cash basis. That means that we have a lower installment in 2015 but what happens when that occurs because of course our taxable income is still growing nicely in 2015. We will be in a situation in 2016 where we have two things that will happen, one is we will have a payment for 2015 based on a lower installment base that we have seen this year. And then we will also have a higher installment base in 2016. So we are going to get a bit of double impact of increases next year. But to really quantify we are still obviously working on that and we are still working on our financial plans for 2016, but we do see that coming and there will be an increase for sure next year. But you are right, on the capital investments that would provide a little bit of a cover on the capital cost allowance side but the impacts of this sort of double impact of the public mobile tax losses will be much more significant.
Drew McReynolds: Okay, thank you.
John R. Gossling: Alright, thanks Drew. Next question Peter.
Operator: Thank you. Your next question comes from Greg MacDonald. Please go ahead.
Greg MacDonald: Thanks, good morning guys. I wanted to ask a question that I think a lot of investors are wondering, about the industry overall not just TELUS but it is this question of what the potential for sustainability of ARPU growth is. You are growing ARPU nicely, Bell is growing ARPU nicely, Rogers [ph] seems to be getting back on track a little bit on this. I know a big part of this is mix, I wonder and I know you are not going to give us any specifics Joe for competitive reasons, but I wonder if you might just talk qualitatively about this issue, whether it is kind of mix of Koodo versus TELUS loads, i.e. that is improving towards the TELUS brand, whether that's as Bell seems to talk about the percentage of customers on LTE and the fact that as that grows you get higher and higher ARPU because people have higher usage? What I am trying to get Joe is just are you willing to talk about the potential for sustainability of actual ARPU growth one to two years out, do you think that that's still feasible? And then I have a quick follow-up thanks.
Joseph M. Natale: Thanks for the question Greg. I think first of all it is very hard to predict ARPU that far out. So much of it depends consumer behavior, it depends on competitive behavior around how data plans are priced, etc. going forward. But I do feel there is still opportunity for upside on the ARPU front. And moreover I just give you my qualitative views on what is driving ARPU up and then the factors that are providing a dampening effect on ARPU and that is, we have certainly modeled all these things in detail. I will give you my qualitative thoughts on it and that hopefully helps you to put it into perspective. So in terms of what is driving it up overall, the -- we have a very strong focus on high quality subscriber loading. There was a world of seasonal churn and a world of double cohort, and a world of just customers leaving customers coming. We have worked hard to index our marketing efforts towards higher quality subscribers that come with greater Smartphone usage, that come with share plan usage versus lower quality subscribers as a whole, so that is number one. Second thing I would say to you is that there are still upgrades, ARPU lift coming from Smartphone upgrades. We will see anywhere from a $7 to $10 ARPU lift as we go from an old generation Smartphone to a new generation Smartphone in that upgrade cycle. And this comes with the fact that the phone is more capable, often operating -- most time operating at LTE speeds and therefore more responsive. And therefore we have a very strong upgrade program looking to simulate the base and there is still lots of opportunity within that base to drive that upgrade as a whole. We still see some benefit in the move from three year to two year contracts. We are certainly working through that cycle will be in the next couple of quarters as we work through double cohort. But I think it is fairly clear to people that as we move from three to two year contracts that there is an ARPU lift associated with that happening. If I look broadly at the market for share plans as a whole, we are seeing share plans really have an emphatic place in our business and drive overall ARPU for the individual account but also for the family account as a whole and that is sort of driving things up. There will be some dampening of ARPU mathematically because as we load more tablets and things of that nature, that necessarily come with a lower ARPU on their own but as I have said to you in the past Greg, our focus as a company has been very much on AMPU and looking at the margin associated with it. We have some low ARPU devices that we add to our business in various segments that come with tremendous margin. At some point we are going to have to find a way of communicating that more adequately and more specifically as that pace grows. But with more AMPU as sort of the marching focus for us. So that's sort of the best I can offer overall. In terms of the mix between Koodo and the TELUS brand, we are happy with that mix. We are happy now with the more solidified distinction between plans and programs around our premium TELUS brand and the price points etc around the Koodo brand. Couple of years ago we saw some of that kind of lead together in the marketplace based on competitive behavior and not more of a distinction and we have added more service capability to the TELUS brand therefore making it more attractive for certain types of customers.
Greg MacDonald: Okay, thanks Joe. That is actually pretty good stuff, more than I expected I would get. The second follow-on has to do with the economy in the West, I wonder -- we have heard some kind of anecdotal evidence but I worry about things like this because business customers tend to come back at companies with a hammer when times are tough and Bell has kind of communicated a little bit that had an impact on data services on the wireline side of the business this quarter. Can you talk about whether customers are coming back and asking for re-prices, is this not -- is this just volume issue in the West, or is there a re-price going on? Have you seen any evidence of that on the wireless side at all? Thanks.
Joseph M. Natale: Okay, we talk about situation in the West very specifically. From a consumer side of the business I would tell that it remains very healthy. In fact some of the slowness that we are seeing in enterprise and business that I will talk about in a minute is being completely offset by the resiliency of our consumer business in the West both wireless and wireline. We are seeing very strong performance around ARPU, around churn, continued growth in subs, both wireline and wireless. So, the view from us is that our diversification of revenue amongst the various aspects of our business has become a very helpful factor. Diversification between consumer and business of course, diversification between some of our verticals around health where things are going very well in fact, and also diversification between Alberta and BC very naturally. The BC economy is doing very, very well, the performance is running at a surplus and therefore there is a strong offsetting factor there as well. I do believe that on the consumer front our service in Smartphone, internet, TV are counter cyclical, and we are seeing people take discretionary spending and say maybe we won’t go to a restaurant, we won’t go out for out of the town, maybe we’ll stay home and see what’s on optic TV and order something in. And we are seeing that behavior play out in terms of consumer market place. With respect to Smartphone’s, Smartphone's have become an essential part of people’s lives. I think they really are no longer a discretionary item for a large majority of population overall. And a lot of the overage in the plans use to be that years ago have been washed through with these all in plans that now are the norm, and the data growth is actually kind of helping prop up the ARPU that we talked about earlier. And we see no real significant difference in the West in Alberta versus anywhere else. A shift to the business space I would say there are two phenomenon’s going on, one is in the enterprise base. Large oil companies, they have slowed some of their capital expenditure. They haven’t eliminated it but last year this time we were building out camps in Northern Alberta and filling them with TV and internet for some of the camp workers, etc. That has slowed or been delayed not cancelled but slowed or delayed. So we are seeing that phenomenon. In the middle market small and medium size companies have support the oil industry. Yes, they are calling us, they are looking to cancel lines, they are looking to right size their portfolio. It is sort of a natural occurrence. A lot of them are having a problem with jobs, etc. and they are looking for all cost categories. I’ll tell you that, that downward push is very manageable for us as an organization and it’s something that is being supported by the other elements of our business that we talked about. The other factor on business now is just more broadly is nothing to do with Alberta or the economy overall. It’s the movement acceleration of IP services. We once lived in a place where a voice connection was a individual circuit switch and now we live in a place where people are taking centric services, voice services on mass and moving them to IP where the revenue and the loyalty elements are still very compelling for TELUS organization but the circuits don’t count in the same manner therefore there is downward draft on some of them. And I think business -– as a whole is becoming a less relevant measure of given where in the enterprise end of the market. I hope that puts into perspective Greg.
Greg MacDonald: That’s a lot of good info, thanks a lot Joe.
Paul Carpino: Thanks Greg, next question Peter.
Operator: Thank you, your next question comes from Simon Flannery, please go ahead.
Simon Flannery: Great, thank you very much. So I think you referenced the success in optic TV of pulling through broadband adds but we are seeing a lot of changes in the bundles in Europe and in the U.S. so quad play is all the flavor in Europe and we seen AT&T rollout wireless plus DirecTV bundles in the last couple of days. There is a lot of focus of that skinny bundles and about over the top so it would be great to get your perspective given that you got a presence in the lot of the major product sets, how do you see this evolving overtime and what do you think of the bundles that really resonate, is there a role for some evolving in the product sets and the bundles overtime? Thanks.
Joseph M. Natale: I think first of all there is always room for evolution Simon in the way we go to market. You think about this industry 10 or 15 years ago, I mean what was hot or what was the exciting bundle offer and what it is today, it's changed dramatically. I think the most important thing I would say to you is that we believe we have got a platform in optic TV that meets the current definition of capability, future performance, bundling, etc. that is working very well for us. And it’s also a platform that is flexible. This IP based platform is flexible overall. Just to put a few specific points down, we’ve had very thin, basic package since the beginning of TV. We really believe that giving consumers choices at the heart of our value offering and we’ve always believed that by adding the ability of our customers to choose, in fact they can choose their offering from the remote control. If you want to add or subtract channels we have 16 theme packs attached to the basic offering. We’ve always been OTT friendly from the beginning and we’re offering Netflix on our TV service and that’s going well for us as an organization. And the result kind of speak for themselves in very specific terms. And 97% of our TV customers have at least one other home product that they take in with them when they brought TV. Almost all of them from that perspective. 83% added home phone high speed or both at the same time that they added TV. And here is the biggest kicker of all I think is that 80% of our new TV customers were not former TELUS residential customers. They have come to TELUS for the first time or come back to TELUS. So I think that speaks to the volatility of our offering. We’ve got a great marketing team, they are always looking at ways of adding future set. We have got a great technology team involving the platform. We are not standing still with respect to the capability of optic TV and we’ll continue to kind of do the right things in the marketplace.
Simon Flannery: And what about wireless, it seems like that’s more of triple play focus but is wireless something that where it belongs in a bundle more forcefully than it has in the past across North America?
Joseph M. Natale: Wireless resonates very well for some people and not so well for other people. I would say that our experience has been that about a third of our residential base likes the idea of bundling wireless together. We certainly have some very good wireless included quad play offers if you want to call it that. A third of the population doesn’t like the idea because of a number of factors, they may want individual choice within the household of carriers, handsets, contracts, etc. Those particular obligations may not be called terminus. They may not want to kind of look at it in from a fulsome perspective for a reason. And third just kind of different right now, they are trying to figure out what it means. The key for us as a provider is that the bundle needs to be about a compelling set of converged ideas and solutions. The bundling that goes on the road is not about price, that’s not very creative. Price bundling is not very creative it doesn’t really kind of now speak to the capability of the technology. So we’re going to push bundling through the power of things like on the go TV like optic on the go. Through the power of some of our smart home applications and ideas that we see that operate inside the home and also outside the home. Through the power of some of our healthcare applications that are coming that will give people support to their healthcare needs both inside the home and on the go. So as those things mature, as those things become the reason why you might want to consider wireless bundle, I think the game changes completely from just a price discount point.
Simon Flannery: Great, that’s helpful. Thank you.
Paul Carpino: Thanks Simon, next question Peter.
Operator: Thank you. Your next question comes from Jeff Fan. Please go ahead.
Jeffrey Fan: Thanks and good morning. My question is on the CAPEX, if you guys can just help clarify the increase and where that the source of the increase is coming from whether its wireline or wireless, it sounds like its wireline but just wanted to clarify? And the second part of the question is just on the fiber spending. Looking ahead wondering if you can just help us qualitatively talk about the returns and how the return of that investment is going to look compared to some of the previous opportunities that you guys have had knowing that you guys have been very prudent and successful in deploying capital, just wanted to understand how we turn look on some of the extra capital spending that’s going on, thanks?
Joseph M. Natale: Hi Jeff, the augmentation in our capital is coming from both broadband wireless and broadband wireline. I would say quite clearly we feel that TELUS is earnings its way to this augmented investment through the growth that we’re delivering on revenue, EBITDA, and on the subscriber front across both wireline and wireless and I think it’s well evidenced by our industry leading operating results. Coupled with the fact that our wireline growth that attributes across revenue EBITDA and subscribers are quite unique on a global basis. In terms of where we have been 15 consecutive years now, the entirety of our CAPEX has been directed at our core business and it's been focused on broadband technology and infrastructure deployment in the case of your question, broadband wireless and broadband wireline. And it’s our view that these on strategy investments support our long-term growth thesis and the continuing robustness of our synergistic dividend growth model and NCIB programs. And Jeff there are not many corporations in the world in any industry that can invest ardently for the future and simultaneously return significant amounts of cash to shareholders. At most companies those things are mutually exclusive, at TELUS they are mutually inclusive. In terms of fiber, I mean it is early days and this for us is a generational investment. So, this is not an incrementalist approach but a quantum move forward for our organization. And in terms of your question as it relates to return, I would say if the fiber generational investment mimics the generational investment that fiber has been, fiber will drive value for both customers and investors for many, many, many decades to come and it will also future proof our network and all the services and applications that we would support long into the future. And if you look at the way we have approached fiber build, it is not holistic, it is modular in nature which means that we can consume the capital at a reasonable pace. We can execute effectively, we can prioritize geographies according to competitive conditions and economic returns, and we can also learn through this modular process. Learn in terms of what sales and marketing methodologies are yielding the best results from a penetration perspective. We can also learn in terms of process engineering and leveraging the technology cost curve to make sure that we have got the lowest unit cost to support the desired return that we want to generate. The other thing that I would have to say in terms of strategy, it is not a subject that we frequently get into on these calls but there is a confluence of positive events that we necessarily need to be cognizant of when we are thinking about this opportunity on a generational investment front. We have the lowest cost of capital in modern economic history and I think we should thoughtfully leverage that if we have got great growth opportunities and we can execute effectively and I think our results prove just that. And this quarter's performance is not unique, I think it is emblematic that what we have been consistently delivering at the TELUS organization. Secondly, strategically our product portfolio has never been stronger, neither has our competitive position in the marketplace and we should leverage that. That is a smart thing for us to be able to do. Thirdly, there is not a technology cost curve on the civil side of fiber deployment but there is on the fiber side and I think it is a nice opportunity given that the entirety of the Telco fraternity seems to be going down this particular path that we leveraged that fiber cost curve. Fourthly, when we used to look at fiber to the home it was to support one or two services. You go back to Simon's question right, it is all about thinking about the multiplicity of services that we can deliver into the home and the breadth of our product portfolio. And that gives us the opportunity to leverage significant economies of scope not just as it relates to data voice, or high speed internet access, or TV products and 4K coming to fruition. But economies scope supporting wireless because fiber of course does the wireless back haul whether it is at the tower level within the macro wireless environment or back haul for the small cell topology within the urban neighborhood. We also had significant economies of scope on the business in consumer front. Our deployment of fiber is not just for the consumer, it is for both business and consumer and there is a significant overlap of that within our neighborhoods across Western Canada. And then lastly, the fiber deployment is tremendously synergistic with our healthcare strategy. When you think about building and networking ecosystems across primary care and health and acute care and health, fiber has a huge contribution to make when you are looking at moving huge squads of health data to deliver better health outcomes for patients. And then finally I look at the regulatory window of opportunity and I think it is attractive. And over the last 15 years that hasn’t always been the case. But I think smart companies leverage windows of opportunity and I think we have that on the regulatory front. We have seen -- infrastructure based competition in recent decisions. I think that is a good thing. We have got the latitude to do what we want to do in Western Canada, I think that is a good thing and we should proceed with leveraging it. And then lastly fiber deployment is not just about deploying technology, it’s about building a future motive operation for our company that will drive a complete restructuring of the cost base within TELUS, the simplification of our product portfolio, and an emphasis on leading the way with putting customers first. And when you combine that fiber push and you take cost out of your business and you also look to elevate and build upon the tremendous momentum that we have in putting customers first and you can see that in our loyalty and retention results, that’s a pretty strong chemistry. And this particularly type of thing is critical for Canada. There is no country you know that really does exhibit our demographics and that really does speak to a necessity to leverage technology to bridge those demographic fruitfully, to support our society and the productivity of our businesses. And lastly maybe to give you a sense as to the magnitude of the fiber footprint as it stands. We’re approaching right now of the 2.8 million homes across Western Canada that are optic enabled about a quarter of those approaching a quarter of those are fiber enabled. So again this is a growing program but I think a smart thing to do.
Jeffrey Fan: Okay, thanks for that.
Paul Carpino: Great thanks Jeff. Next question Peter?
Operator: Thank you and our next question comes from Phillip Huang. Please go ahead.
Phillip Huang: Yes, thanks and good morning. Just wanted to touch space on the churn again, certainly very impressive to see that you guys have been able to reach new load despite the double cohort but my question is there -- what is the optimal churn level if you think there is one that would point you, say our invested nothing in customer service and we’re happy kind of keeping churn at these levels and maybe shift your investment focus toward other areas of the business?
Joseph M. Natale: Thanks for negotiating that. Right now I really appreciate it though. I can be trite and say the most optimal number is zero. And there is sort of a point where you’ve got a level of involuntary churn that just really reflects economic conditions demographics in Canada. And we can at some point share models on what we think that number is. But the other day -- not to start with the bag of money to begin the quarter and see how much are we going to spend to minimize the churn. Yes, we have a COR component that is tied to subsidy but the driver of our churn is actually the capability of the organization around serving customers and that is a cultural muscle that once is developed the goal is to actually keep developing it. And once its performing for us which is performing quite well we’ll continue to kind of leverage it to our advantage. We spent the better part of the last six years getting to this place. It wasn’t like we woke up a few months ago and said lets go fix churn. Six years in terms of cultural investment, process investment, technology investment, all things with a long sustainability well into the future, and at the end of the day we are going to continue putting the pressure on that number because it’s the magic formula of our wireless business. If you were to ask our team what is the number one metric in our wireless business from which a lot of goodness emanates, they would tell you it is churn. A churn allows us to be more disciplined when it comes to promotional periods because we are not gasping for air around loading. Look at our loading as a whole. We have got 47% of the nets in the quarter compared to our large national peers, only 28% of the gross. So that makes us more sanguine when the time comes to jump at the froth of our promotional period. It drives a complete focus in the organization, that’s the most important thing we should set our sights on when we are serving customers in our stores or on the phone, etc. Looking for a terminal velocity on that number, I think its somewhere around the value of involuntary churn we can kind of model that with you at some point if you want to. But we are going to continue pressing on it. There will be seasonal ups and downs in it, right. No question as we enter seasonally busy period and we’ve got four of them coming up. As I mentioned earlier we’ve got back to school, we’ve got a potential iPhone launch, we’ve got Black Friday, and the Christmas holidays. We’ll see some seasonal uplift in churn but our goal is obviously kind of compare on a relatively better basis from the previous seasonal period of course and that’s the mantra. So I -– that’s my view on it. It’s a philosophical view.
Phillip Huang: That’s helpful, I’ll definitely follow up on the mulling after the call. And maybe just touch on the roaming side, I know you guys have been able to gain a bigger mix of higher value customers as part of your ARPU driver but was wondering if you could give us some color on the level of growth you are seeing in roaming, I guess both outbound and inbound and the type of seasonality of roaming that you expect to see in your base and also Q3 that we have seen out of some of your peers, thanks?
Joseph M. Natale: Let me start John and maybe you can pick it up. Roaming, we were roughly new entrant to the roaming market. Certainly we’ve always had strong U.S. cross the border roaming even back in the days of CDMA. But in the world of LTE and HSPA, we are relatively new player and it only marks with the growth opportunity for us. In fact I would add that to the comments I made to Greg earlier around other avenues for ARPU growth for us as an organization. We just launched LTE roaming to a whole host of countries, so that will kind of certainly add capability for us as well as the global handset ecosystem of the install base goes to HSPA and LTE where we have a greater opportunity for in roaming into Canada as the travel seasons kind of spark up through different parts of the year as a whole. And we just launched easy roam. I don’t know if you caught that in some of the press that was out there and the easy roam is our way free roaming solution available to essentially any customer. It gives some cost certainty. With easy roam also came enhanced ability around roaming notification. Right now I think it’s well known in the industry that roughly only about one fifth of people actually even attempt to roam when they leave the boundaries of Canada. And it is not because they can’t afford to do it, they are afraid of bill shock, and they are afraid of not having cost certainty. So the ability to actually offer an easy roam type solution which I think is very customer friendly available to anybody who wants it whether it is on a low price plan or high price plan, etc. and very, very simple. But augmented with a systems capability around real-time notification, around real-time understanding, real-time buying of that roaming capability. We have got to make it easier and worry free for customers and I think will see 20 become 30 become 40 become 50 which is only upside for us as an organization.
John R. Gossling: Filling on the financial side, the impact certainly in the second quarter was very, very insignificant so you got competing factors and Joe mentioned the drivers. So yes, we are driving more adoption, more usage, and that’s important from the customer experience perspective in making that better and making it more attractive for people to use the service. That will also come with some additional cost if we get more volumes. And frankly it’s almost a wash at this point. We are in very, very early days of that business ramping. So it’s not a big driver of our results or changes and our results at this point. But certainly the second order of benefits of what it does for the customer and allows them to do is what we are driving for.
Joseph M. Natale: Given the relatively smaller share we’ve had in the market of roaming, the rerate impact for us is far smaller than some of our competitors.
Phillip Huang: Got it and are you going to give us a ballpark roughly what percent of your service revenue is coming from roaming at this point?
John R. Gossling: ARPU is less than 5%. It’s pretty consistent with where it’s been.
Phillip Huang: Got it, thanks very much.
Paul Carpino: Thank you Phil, Peter we have time for two more quick questions.
Operator: Thank you. Your next question comes from Tim Casey, please go ahead. Hello Tim. Okay next question comes from Maher Yaghi. Please go ahead.
Maher Yaghi: Yes, good morning. Thanks for taking my question. So instead of asking you a question on your industry leading customer loading and churn which you have been accustoming us to recently, I wanted to ask you a question regarding capital allocation. When I look at your capital allocation plans which includes dividends and healthy spot buybacks I can see you can cover those allocations from your regular free cash flow production. However, we have seen you guys spend close to $3 billion over the last two years on Spectrum, I gather those spectrum acquisitions will not repeat every year and certainly they are better suited to allow your communication to telecom services offering and self buying media content. However, is there a place to include in your capital allocation plans those acquisitions because if we look at let's say over the last eight years the average was close to 500 million, so just wanted to see how you view those capital allocations separately from your operating free cash flow over the year? Sorry for the long winded question.
John R. Gossling: No, I think Maher you have answered a lot of your own question. Certainly we have been through a period in the last two years now of very, very significant investment spectrum that you mentioned. Between auctions and a little bit of M&A activity we spend about $3.5 billion. So the average number you have quoted is really heavily weighted to the last 24 months. So, yes, we view these as absolutely necessary generational investments for our wireless business. And you see today the results and the growth we are getting in the wireless business. I think one of the ways we look at this is if we weren’t able to make these investments we would actually be creating more risk for our wireless business. And you would be asking me about the capital intensity of our wireless business, why is it so high because we don’t have the ability to expand capacity using the spectrum assets. So, we feel very comfortable. Yes, it is a big number and it has been very concentrated. But going forward we don’t have any auctions on the horizon in Canada and we have been through a lot and we have been really enabled by a very high quality balance sheet that we had coming into these auctions and we understand the benefit of starting at the place. So, I think it is all in a way behind us now and we feel very, very comfortable about what's happened and where we have gone in terms of almost doubling our spectrum portfolio and also our spectrum position in the industry has improved dramatically. We are now in second place and not far behind. So, that treads a lot of our thinking. It is expensive and Darren mentioned the cost of capital environment when it comes to our fiber investments the same thing applies to the spectrum. They are both generational investments that we have to make for the health of our business in the long-term.
Joseph M. Natale: And also right now Maher is operationalizing that spectrum and investment to deal with the significant data growth that we are trying to process. And that is the number one focus for our wireless team and deliver great services on the back of it. And in addition in terms of looking forward, there are no large acquisitions that we would see on the horizon that would be consumptive of capital. All acquisition activity would be small in nature, tuck in investments to support the continued development of various like Health.
Maher Yaghi: And Darren just to follow-up on your modular investment in fiber to the home, you are running I guess it totals up to the question on capital allocation, in terms of your capital investment run rate which is running quite high at this point, when you talk about modular investment in fiber to the home, over how many years that you believe these investments will take until before we can see the beginning of a decline in that fiber deployment?
Darren Entwistle: As it relates to fiber specifically, not talking holistically about the CAPEX intensity on wirelines, you can consider modular program to be five to seven years in duration in terms of the bulk of the activity. I think a good example, the simplification of the modularity of the program is the focus that we announced a few weeks ago on the Greater Edmonton area where we are looking to cover 300,000 homes, businesses, and key nodes within the healthcare continuum. And so, that is a project based capital that is under way. I would also remind you that fiber is the spectrum of the wireline business. Frequently spectrum separated from wireless CAPEX intensity but fiber is the spectrum of the wireline business. And I think it is an investment whose time has come. And I said previously, the two points are important here, one from risk management perspective. Modularity is key to ensure that the holistic environmental conditions are conducive to us getting the economic return that we want. Second, thing about modularity is that it actually allows us to accentuate the economic return because we learn as we go. We get better in terms of our penetration strategies, in terms of return on the capital, and we get better from a cost efficiency point of view in terms of the deployment of capital. I think that is for me a reasonably smart way for this organization to proceed.
Maher Yaghi: Great, thank you.
Paul Carpino: Thank you Maher. Peter one last question please.
Operator: Okay, last question comes from Tim Casey. Please go ahead.
Tim Casey: Hi, can you hear me.
Joseph M. Natale: Yes.
Tim Casey: Great, listen I was just wondering if you could talk a little bit about qualitatively how you are approaching your capital allocation to shareholders. I know we are not near the end of 2016 and you are not in the guidance game for those out years, but qualitatively how are you thinking about your dividend and buy back allocation on a medium term basis given all your comments regarding the attractiveness of the cost of capital and your generational view on fiber? Thanks.
Joseph M. Natale: Tim, actually we are in the guidance game on a forward-looking basis. In fact we are the poster child for that. When we stepped up at our 2011 AGM, and provided a three year view on the dividend growth model, with the specificity of two dividend increases per year with a target growth rate of 10% or better. That what is not only in the guidance game but basically distinguished us from all of our peers in terms of that type of forward-looking guidance from a dividend growth perspective. Then of course we repeated that most recently through the 2016 time period, again consistent with twice a year in terms of dividend increases with a target annualized growth rate of 10% or better. And I think this organization intends to make good on that particular commitment through 2016 as we intend to make good on our NCIB commitments through 2016. A couple of things I think are important to highlight, we are earning our way in terms of delivering this cash return to shareholders because it is underpinned by the operational and financial results of the organization which are leading amongst our peer group. Number two, in terms of the dividend growth model and the NCIB, they are synergistic in nature. As I highlighted in my comments this morning, when you are buying back in [indiscernible] shares, shares that otherwise would have dividend growth associated with them. You can eliminate a significant cash outflow. In fact cumulatively now we have eliminated dividend outflows of $125 million a year. And I think that, that's a smart thing to do. And then lastly for me, I think this is the most attractive investment attribute that TELUS is the fact that we are completely unique. We have got the ability to simultaneously make strategic investments for the future not just in one part of our business, strategic investments to underpin where we want to take our wireless business from back to home to infrastructure, to services, and the like. Strategic investments on the wireline business with the modular fiber program, building on our great future for any home portfolio, and both wireless and wireline building up the excellence that we have on the customer service front. And also invest in ancillary areas that I think will become core into the future including TELUS Health and TELUS International. We can do all of that but we can also support the continuity of our dividend growth model and our NCIB programs, and I think those things being mutually inclusive at TELUS is a massive differentiator versus investment choices that you have out there. And then lastly what is so forward-looking about this is, as we get through 2016 and we have finished delivering against the expectation that we have set with you in terms of share buybacks and dividend growth, the question is going to be what you are going to do over 2017, 2018, and 2019. And for us to be able to tell you a similar story in terms of dividend growth and share buybacks then we have to make smart investments today that are going to bear fruit both operationally and economically into the future to underpin the longevity of the dividend growth model and the NCIB program. And I think we are doing just that.
Tim Casey: Thank you.
Paul Carpino: Thank you everyone for joining us on the call. If there is any follow-up please feel free to reach out to the investor relations team. Thank you.
Operator: Ladies and gentlemen this concludes the TELUS 2015 Q2 earnings conference call. Thank you for your participation and have a nice day.